Operator: Ladies and gentlemen, thank you for standing by for Cigna's Fourth Quarter 2012 Results Review. [Operator Instructions] As a reminder, ladies and gentlemen, this conference, including the question-and-answer session, is being recorded. We'll begin by turning the conference over to Mr. Ted Detrick. Please go ahead, Mr. Detrick.
Edwin J. Detrick: Good morning, everyone, and thank you for joining today's call. I am Ted Detrick, Vice President of Investor Relations, and with me this morning are David Cordani, our President and Chief Executive Officer; and Ralph Nicoletti, Cigna's Chief Financial Officer. In our remarks today, David will begin by commenting on Cigna's full year 2012 results and how our clear, strategic direction positions us well for continued success in 2013 and beyond. Next, Ralph will review the financial results for 2012 and provide our current perspective on Cigna's financial outlook for 2013. We will then open the lines for your questions. And following our question-and-answer session, David will provide some brief closing remarks before we end the call. As noted in our earnings release, Cigna uses certain financial measures, which are not determined in accordance with Generally Accepted Accounting Principles, or GAAP, when describing its financial results. Specifically, we use the term labeled adjusted income from operations and earnings per share on a same basis as the principal measures of performance for Cigna and our operating segments. And a reconciliation of these measures to the most directly comparable GAAP measure is contained in today's earnings release, which is posted in the Investor Relations section of cigna.com. Now in our remarks today, we will be making some forward-looking comments. We would remind you that there are risk factors that could cause actual results to differ materially from our current expectations, and those risk factors are discussed in today's earnings release. Now before I turn the call over to David, I will cover a few items pertaining to our results and disclosures. First, I remind you that we recently announced the change in our segment reporting, which became effective with the reporting of our 2012 financial results this morning. This change in segment reporting was driven by Cigna's recent realignment of our businesses in order to more effectively execute on our global strategy and better position us to drive sustained business growth by delivering on our mission to the people we serve around the world. In connection with this realignment, our results will now be aggregated based on the nature of our products and services rather than the geographies in which we operate. We will continue to report our results through 3 ongoing business segments but under a different configuration. Major changes in our segment reporting are to report our Global Health Benefits, or Expatriate business, as part of our Global Health Care segment. And we now report our International Health Life and Accident business as the newly formed Global Supplemental Benefits segment. Our third business segment continues to be our Group Disability and Life business. And the remaining reporting segments remain unchanged. As a result of these segment changes, there is no change to our historically reported amounts for consolidated shareholders' income, consolidated adjusted income from operations, earnings per share or shareholders' equity. And to facilitate the investment community's understanding of these segment reporting changes, we have included exhibits showing both restated prior-period amounts and fourth quarter 2012 results on the former segment basis in our quarterly financial supplement, which can be found in cigna.com. Now moving to results for the quarter. I would note that in the fourth quarter, we recorded an after-tax charge of $68 million or $0.24 per share for litigation-related matters, which we reported as a special item. I would remind you that special items are excluded from adjusted income from operations in today's discussion of our 2012 results and full year 2013 outlook. Relative to our Run-off operations, earlier this week, we announced that we exited this business effective February 4, 2013. However, prior to the effective date of this transaction, we are required to continue to report the results of this business. Our fourth quarter shareholders' net income included an after-tax noncash gain of $7 million or $0.02 per share related to the Guaranteed Minimum Income Benefits business, otherwise known as the GMIB. As a reminder, the results of our GMIB business are excluded from adjusted income from operations and, therefore, also excluded in today's discussion of 2012 results and our full year 2013 outlook. Also please note that when we discuss our full year 2013 outlook, it will be on a basis of adjusted income from operations, which excludes realized gains and losses on investment results and special items. It also excludes the effects of future capital deployment, and it will be on our new basis of segment reporting. And with that, I'll turn it over to Dave.
David M. Cordani: Thanks, Ted, and good morning, everyone. Before Ralph reviews our results and outlook in more detail, I'll briefly touch on our 2012 results. Then I'll discuss Cigna's perspective on the opportunities we see in the dynamic global environment we operate in, also provide an update on how our clear, focused strategy continues to create differentiated value for our clients and customers and, by extension, our shareholders. And finally I'll provide some brief comments on our expectations for 2013 and beyond. 2012 was another strong year for Cigna. We exceeded our growth in earnings expectations, driven by -- primarily by the strength of our Global Health Care businesses. This marks our third consecutive year of effective execution of our Go Deep, Go Global and Go Individual strategy, which is providing differentiated value for our clients and customers and delivering strong returns for our shareholders. Our 2012 consolidated revenue increased by 33% to $29.1 billion. We reported adjusted income from operations of $1.73 billion or $5.99 per share, which reflects a 21% increase from 2011. At the same time, we saw a healthy increase in our global medical customer growth, which grew by approximately 1.4 million people, or 11%, to total of more than 14 million customers worldwide. These financial and operating results reflect strong organic revenue and earnings contributions from each of our ongoing businesses, as evidenced by our high customer retention rates, continued expansion of those relationships and success winning relationships, whether they are with individuals, employers, or governments. We also added to our capabilities and strengthened our market position through strategic acquisitions, most notably HealthSpring. We are pleased with the integration of the HealthSpring business today and its contributions for 2012. We are also on track as we continue to expand into new markets to position this business for future success. Our HealthSpring acquisition is a clear example of how we are effectively managing capital to invest in our business to create sustainable customer and shareholder value. Additionally, the strength of our 2012 results positions us with a strong balance sheet and free cash flow outlook for 2013 to further enhance shareholder value. Our capital deployment strategy remains focused around several core tenets: supporting our ongoing businesses with the necessary capital and free cash flow to operate; pursuing mergers and acquisitions and partnerships to further accelerate growth and create strategic competitive differentiation; and finally, returning capital to our shareholders. To recap 2012, we are very pleased with our results. Over the past 3 years, we have successfully executed our strategy, and this focus and discipline have enabled Cigna to deliver strong and sustained results for our customers and for our shareholders. As we look forward and assess the transforming economic and regulatory environment, we see good opportunities for continued innovation and growth. The demographic shifts and economic pressures are creating a search for solutions, especially in the health care sector where the need to control medical cost and provide affordable care is prompting a number of legislative and regulatory activities, including in the U.S. where health care reform is well underway. Within this environment of change, Cigna's global capabilities, coupled with our focused strategy and track record for delivering high-quality results, are enabling us to thrive. Specifically, Cigna has the scale and experience to deliver effective solutions to developed, developing and emerging markets as we leverage our 3 critical differentiators. First is putting our customer at the center of everything we do, aided by deep analytical insights that allow us to better understand their needs. Second, we leverage that understanding and more effectively identify the right solutions for the right customer at the right time. And this is where our consultative-selling capability really shines. Our third differentiator is our best-in-class physician engagement and partnership programs, which improve quality and overall affordability. As we leverage these capabilities at Cigna, we see 3 indisputable global trends that are creating exciting growth opportunities for us: first, shifting demographics, such as a growing global middle class and an aging population around the world; second is a growing segment of globally mobile individuals and employers; and third, a changing benefits marketplace that is focused on value-based solutions that put the individual customer at the forefront of more health care decisions. I'll briefly touch on each of these. Around the world, we're seeing shifting demographics, such as a growing middle class and aging population, both of whom are seeking value-added health and benefit services. Cigna is pursuing these opportunities by continuing to go deep in our existing markets and selectively expanding our operations. We're also drawing on our deep understanding of these customers by leveraging our physician partnerships as well, all anticipating and adapting to our customers' evolving health care needs. Relative to the growing global middle class, we have a strong track record in countries such as Korea, where we recently celebrated our 25th year of operation, in China, where we now have our 1 millionth policy in force. Our success in China is grounded in our ability to address the needs of the emerging middle class, and we're leveraging the strength of our joint venture partnership with China Merchants Bank. Relative to strategic expansion, we recently entered Turkey and India, where we believe the individual group markets, when coupled with our distribution capabilities, will deliver attractive growth as we position for the future. As for the aging demographic, in the U.S., HealthSpring's proven track record of differentiated results, leading customer solutions and collaborative physician relationships come together to help the seniors we serve improve their health, lower their cost and live more productive lives. The second trend we're seeing is a growing number of mobile individuals who require sophisticated, adaptable solutions. The breadth and depth of Cigna's networks, service capabilities and locally deployed teams allows us to more effectively address and capitalize on the market opportunities presented by these customers. This is one of the areas where our consultative-selling capability plays a critical role. Our ability to meet the evolving needs of our customers and provide optimal solutions in geographies around the world uniquely positions Cigna to grow relationships in a borderless the global economy we operate in. Regarding the third trend, we see a changing benefits marketplace. Our deep analytical insights allows us to quickly adapt to a marketplace that is becoming increasingly retail versus wholesaler oriented, underscoring the value of Cigna's emphasis on becoming a customer-focused company. This is illustrated in part by our expanding portfolio of capabilities, which inform, assist and engage Cigna's customers to make better buying and lifestyle choices. We inform our customers through tools such as myCIGNA.com, which allows Cigna's customers to assess medical quality and cost alternatives, then review available health spending account funds before choosing their physician. We've also created services that assist our customers, including My Personal Champion, which helps customers with multiple chronic illnesses or acute challenges to navigate the fragmented U.S. health care system they face. Others tools we developed are helping customers improve their health, their wellness-related activities and actionable information. These tools are creating the needed transparency to help Cigna customers improve health outcomes and better manage their overall cost. Lastly, we seek to engage customers with their physicians through our best-in-class physician partnerships. In the U.S., we're continuing to strengthen our physician partnerships through our more than 50 Collaborative Accountable Care initiatives that, today, span 22 states, which when combined with the HealthSpring senior solutions, are already serving nearly 1 million customers. We continue to view our Collaborative Accountable Care relationships as the leading approach to improve health outcomes, improve affordability and deliver differentiated value for our customers, all while expanding the rewards with top-performing physicians and integrated health care systems. Our differentiated capabilities, leveraged against these established market trends, create tremendous growth opportunity for Cigna as we look to the future. Now to summarize before turning it over to Ralph. We had a strong year in 2012 that exceeded our expectations, marking our third consecutive year of profitable growth, effective strategy execution and sustained investment to position us for the future. Over the last 3 years, we delivered 17% compound revenue growth and 15% compound EPS growth. We continued to have a strong balance sheet and financial flexibility, which was further enhanced this week by our agreement with Berkshire Hathaway to effectively exit the VADBe and GMIB businesses. This track record gives us confidence in our long-term outlook, which is an EPS growth rate of 10% to 13%, on average, over the next 3 to 5 years. And based on the record of success and the momentum we carry from 2012, we are confident about achieving our outlook for 2013. With that, I'll turn the call over to Ralph.
Ralph J. Nicoletti: Thanks, David. Good morning, everyone. Today, I will review Cigna's 2012 results and our current outlook for 2013. We had a very strong 2012, continuing to build on our excellent track record. And I'd like to highlight several key accomplishments, specifically another year of strong top line and customer growth, successful integration and strong performance of the companies we acquired in 2012, most notably HealthSpring, and earnings per share of $5.99, representing 21% growth. Our fourth quarter results punctuated our consistent execution of the fundamentals, which drove strong revenue and earnings growth, while we continue to make significant strategic investments in capabilities in each of our businesses. The strength of our 2012 performance provides us with solid momentum going into this year and confidence in our 2013 outlook. Our full year consolidated revenues grew 33% to $29.1 billion, driven by continued contributions from HealthSpring acquisition and growth in our targeted markets globally. 2012 earnings were $1.7 billion, which represented growth of 27% over 2011. Regarding the segments, I'll first comment on our Global Health Care segment. Overall, Global Health Care results for 2012 were strong across both our Commercial and seniors businesses. 2012 premiums and fees for Global Health Care grew 45% to $21 billion, reflecting strong contributions from the HealthSpring acquisition and organic growth. Excluding the effect of HealthSpring, premium fees grew 8%. Full year earnings were approximately $1.5 billion, representing growth of 34%, driven by several factors: strong contributions from HealthSpring; revenue growth, in particular due to strong ASO customer growth and specialty penetration; favorable medical and pharmacy costs; continued underwriting and pricing discipline and operating expense efficiencies. We ended 2012 with 14 million global medical customers, representing growth of 1.4 million customers, of which 1 million represents organic growth. Turning now to medical costs. We're pleased with the results we delivered for both our Commercial and seniors books of business. These results demonstrate our consistent track record of improving health outcomes for the benefit of our customers, driven by our effective engagement with physicians and a focus on delivering value-based solutions for our clients and customers. On the Commercial side, we continue to deliver differentiated value relative to medical outcomes for our clients and customers. The medical trends are among the lowest in the industry. And because nearly 85% of our U.S. Commercial customers are in ASO funding arrangements, we directly benefit from these favorable medical costs. For our total U.S. Commercial book of business, full year medical cost trend was slightly less than 5.5% for 2012. Regarding medical care ratios, in our U.S. Commercial guaranteed cost business, our full year 2012 medical care ratio, or MCR, was 80.2% on a reported basis. Excluding prior year claim development, U.S. Commercial guaranteed cost MCR for 2012 was 81.3%. In our seniors business, our full year 2012 MCR for Medicare Advantage was 80.9% on a reported basis. Excluding prior year claim development, the Medicare Advantage MCR for 2012 was 81.5%. Moving to operating expenses. In 2012, the total Global Health Care operating expense ratio is 22.6%, which is a 390 basis point improvement over the 2011 expense ratio, primarily driven by the effect of the change in business mix associated with the HealthSpring acquisition, benefits from our cost-savings initiatives and offset somewhat by our continued strategic spending to support our near- and long-term business growth and service capabilities. Overall, we had a very strong year in our Global Health Care business. Now I will discuss the results of our Global Supplemental Benefits business, which continues to deliver attractive growth and profitability. Premiums and fees grew -- for 2012, grew 30% over 2011, driven by strong customer retention and growth, as well as contributions from our recent acquisitions, most notably Great American Supplemental Benefits. Full year earnings in our Global Supplemental Benefits business were $148 million, representing a 48% increase over 2011 and reflecting business growth, particularly in Korea, improvements in operating expense efficiencies and favorable claims experience while continuing to invest in products, distribution and geographic expansion. For Group Disability and Life, full year results were solid, considering the challenging economic environment. Group premiums and fees for 2012 increased 9% over 2011. Full year earnings in our group business were $281 million, which was down 3% from 2011, due to unfavorable claims experienced in the disability business, partially offset by favorable life claims experience. Results for our remaining operations, including Run-off Reinsurance, Other Operations and Corporate, totaled to an after-tax loss of $175 million for the full year 2012. Overall, as a result of the continued effective execution of our strategy, our 2012 results reflect strong revenue and earnings contributions from our ongoing businesses, as well as the generation of significant free cash flow. Now I will discuss our outlook for 2013. We are well positioned to continue to deliver differentiated value for our customers and, as a result, strong financial performance for our shareholders, based on leveraging our global capabilities, optimizing our diversified portfolio of business from multiple sources of growth and continued effective capital deployment. We continue to expect consolidated revenues the grow in the range of 8% to 12% over 2012. We've increased our outlook for full year 2013 consolidated adjusted income from operations to be in the range of $1.7 billion to $1.83 billion or $5.85 to $6.30 per share. I will remind you that consistent with prior practices, our outlook excludes any contribution from additional capital deployment, as well as any prior year claim development. I'll now discuss the components of our 2013 outlook, starting with Global Health Care. We expect full year Global Health Care earnings in the range of $1.43 billion to $1.52 billion compared to 2012 results of $1.41 billion, excluding prior year claim development. Now I summarize some of the key assumptions reflected in our Global Health Care earnings outlook for 2013, starting with the customer base. Regarding global medical customers, we continue to expect 2013 customer growth of approximately 1% to 2%. Our outlook on medical costs for our total U.S. Commercial book of business, we continue to expect full year medical cost trend to be in the range of 6% to 7%, which reflects the expectation for an increase in medical services utilization during 2013. There are variety of moving parts within our medical care ratios in 2013 resulting from changes we are making to our business, as well as changes in underlying business mix. From a pricing standpoint we continue to price to our underlying medical costs. Importantly, Commercial risk margins are expected to be essentially consistent year-over-year, after excluding prior year claim development. Based on changes to our operations and business mix, we expect the 2013 medical care ratio to be in the range of 83.5% to 84.5% for our U.S. Commercial guaranteed cost book of business. For our seniors business, our Medicare Advantage MCR for 2013 is expected to be in the range of 82% to 83%. This range is slightly higher than our 2012 results, excluding prior year claim development, reflecting steps we have taken to better position ourselves in selected markets regarding the pending MCR floors in 2014. Regarding operating expenses for 2013, we expect to continue to improve our Global Health Care operating expense ratio by at least 50 basis points over 2012. We would expect a similar pattern of earnings in 2013 as we saw in 2012 for the Global Health Care segment in which earnings are greater in the second half of the year due to the seasonal nature of our business. Now moving to other components of our outlook. For our Global Supplemental Benefits business, we expect continued, strong top line growth and expect earnings in the range of $160 million to $180 million. Regarding the Group Disability and Life business, we expect full year 2013 earnings in the range of $270 million to $290 million. And regarding our remaining operations, that is Other Operations and Corporate, we expect a loss of $160 million for 2013. So all-in, for full year 2013, we have increased our outlook for consolidated income from operations to a range of $1.7 billion to $1.83 billion or $5.85 to $6.30 per share. This represents an attractive outlook coming off a strong 2012. Now moving to 2013 capital management position and outlook. Overall, we continue to have good financial flexibility. Subsidiaries are well capitalized and are generating significant free cash flow to the parent with strong return on capital in each of our ongoing businesses. We ended the year with parent company cash of approximately $700 million. And after maintaining our parent company cash target of $400 million to $500 million and considering other sources and uses of capital, we continue to expect to have approximately $1.3 billion to $1.4 billion available for deployment. This outlook fully reflects the $100 million parent company cash outflow for the transaction to exit our VADBe and GMIB businesses. Overall, our capital position and updated outlook remains strong, and our capital deployment strategy and priorities remain unchanged. Now to recap. Our full year 2012 results reflect the strength of our differentiated portfolio of global businesses, continued track record of effective execution of our focused strategy, strong growth in our targeted markets and customer segments. We expect the momentum from our strong 2012 performance will position us well for 2013, highlighted by: attractive growth in revenue, customers and earnings, as well as EPS growth, with the opportunity for excess cash deployment; exiting our VADBe and GMIB businesses, which has effectively eliminated earnings volatility associated with these businesses; and while continuing to target strategic investments, which will enable sustained growth into the future. Based on the strength of these results, we're confident in our ability to achieve our full year 2013 outlook. With that, we'll turn it over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from Matt Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: My first question -- and I realized this is not the biggest item for you. But as we are moving towards the deadline for budget sequestration, have you reflected that in your guidance? And let me just ask, I'm sort of calculating that on your Medicare Advantage revenue, which is a little over $5 billion annualized, that the sequester would be, I guess, about $100 million on that. And if you pass through 75% of that, it would be about $15 million after-tax or about $0.05 EPS. Is that all correct? And do you have that in your guidance?
David M. Cordani: Matthew, it's David. First, as you frame the Medicare book of business, we have started -- when you think about our seniors portfolio, on which I want to go back to the HealthSpring model, is based on a model that the reimbursement structure with the vast majority of the physicians are actually tightly correlated to Medicare reimbursements. So the alignment there is very tight. That enables us to be able to flex the model as we go forward in any movement in Medicare reimbursement, point one. Point two, as you know, we have a range with any of our outlook and guidance. And point three is you should look that the range of our outlook and guidance contemplates any reasonable movement from a sequestration standpoint in 2013.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: Okay, fair enough. Okay. Just on a different topic here, can you comment on what you're seeing in the ASO and risk side of the pricing environment, and to the extent you see any behavioral change in the industry worth noting as compared to 12 or 18 months ago?
David M. Cordani: Matthew, it's David again. In a macro level, I would say no change in overall market conditions, patterns and otherwise. And just to elaborate on that a bit, as we've talked on the past, our view is that the marketplace is an appropriately competitive marketplace, and we've seen no major change in pattern. I would underscore, we continue to see a high demand from employer clients for the more transparent products, health, wellness and incentive-based programs and products. That bodes well for us. But from the overall macro environment, be it ASO or risk, no major change in posture or pattern in the marketplace.
Operator: Our next question comes from Josh Raskin with Barclays.
Joshua R. Raskin - Barclays Capital, Research Division: Sticking with Medicare Advantage, I was wondering if you could give us update on -- CMS data was a little tough to read. So I'm just curious how your January open enrollment membership came out in Medicare Advantage, and then maybe you could give us your expectations around the 45-day notice and anything we should be thinking about there.
David M. Cordani: Josh, it's David. First, as you frame MA and the MA outlook, as you know from an MA standpoint, the legacy HealthSpring model is predominantly focused on -- or solely focused on the individual MA portfolio of businesses. Two, we're pleased with the early enrollment data and early enrollment success we've had. I mean, we'd expect to see, in the early part of the year, enrollment in the 5% to 6% range and, over the course of the year, an overall enrollment pattern of approximately 10%. And we're pleased with that, both in terms of the overall number, as well as the geographic pattern. To the second part of your question, that you're indicating growth to the 45-day notice, there's nothing that we would expect based on our knowledge of that. On a retrospective basis, that is, I'll call it, disturbing or bothersome to our expectations for 2013. And we expect it to obviously lay out a set of expectations and assumptions for the 2014 bidding process, which, as you know, will be upon us in the near term. So good movement in overall membership outlook and enrollment for 2013, both in terms of aggregate, as well as geographic concentration. And I would say early insights relative to the 45-day notice, no surprises for '13 or early indications for '14.
Joshua R. Raskin - Barclays Capital, Research Division: So David, maybe on that 45-day notice, could you give us an expectation in terms of -- or even a range of what you think the rate will look like all-in for 2014? And then...
David M. Cordani: Yes, Josh -- sure, Josh. I appreciate the question, but I don't think it's helpful to speculate on that. As you very well know and as the market knows, we have an inordinate amount of moving parts as a country relative to the overall programs, and I don't think it's healthy to speculate at this point in time. Stepping back from a Cigna's standpoint, as I mentioned to Matthew's prior question, the core of the HealthSpring model is a tightly aligned reimbursement structure and then a shared value-creation model with the physician community for the benefit of individuals. And we continue to believe that any movement in the marketplace, based on changes in regulation or reimbursement, we will be very well positioned to compete on a relative basis in our chosen markets.
Joshua R. Raskin - Barclays Capital, Research Division: Right. And I think that's one of the main reasons HealthSpring's growth rate was higher in more competitive times in MA. So that's sort of where I was getting at. I guess maybe as that -- one last one instead of that one is just the medical -- the minimum MLRs. It sounded like you guys were looking to reposition the book in front of the minimum MLRs for 2014. So I'm just curious, are you going off of sort of commercial-like definition? And what exactly did that repositioning mean? Did that mean more generous benefits, or how did you do that?
David M. Cordani: Sure, Josh. Just directionally, and to the core of your question, as you know in the way you asked the question, is the final specific regs are not punctuated. So we stepped back and we've made some assumptions and estimates, as I would believe others are doing, and using the directional guidance of the conclusions that were made for the commercial market. Taking that as a backdrop, we have a very strong performing book of business. We've taken steps, as Ralph noted in his prepared comments, in a market-by-market basis, to step forward in 2013 to prepare for the implementation of those loss-ratio thresholds in 2014. And while we're not going to go through market-by-market or our benefit strategies, you should think, in general, our approach was been to enrich -- further enriching the benefits for the benefit of our customers in those market in 2013 that we think is going to bode well for us in '13 and beyond.
Operator: Our next question comes from Kevin Fischbeck with Bank of America Merrill Lynch.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: I guess I want to go into the guidance. And just -- you guys obviously changed the presentation a little bit. Can you talk a little bit about the moving parts within the Health Care international business from when you provided guidance at your Investor Day to when you provided it now? Because it looks -- combined, the earnings there are a little bit lower and that most of the guidance range in Disability and a little bit lower of Corporate expense. Am I reading that right? And if I am, where within Health Care international -- what's the delta?
Ralph J. Nicoletti: Kevin, it's Ralph. I guess first, overall, back on the guidance, feel very good about the growth that we're showing here and the range we provided, and again, just want to reinforce from the remarks David and I both made about our confidence in delivering those. Yet relative to where we were at Investor Day with the prior look, I think the way you should look at this is, first, across all the businesses, the fundamentals and the momentum that we're carrying out of 2012 into 2013 remains unchanged. So I think -- underlying that. Now when you look at the reporting side of it, I think -- first, let me focus particularly on international, which is where we had the biggest change, effectively, we had 2 high-performing businesses within our previous International segment, the global HL&A business, which we now see separated in their segment reporting, and then our global health benefits business, primarily focused on expatriates, is now part of our Global Health Care business. Both of those businesses are growing very nicely. As you could see in our outlook, for the Global Supplemental Benefits business, we're projecting strong double-digit top line growth and bottom line growth in the 8% to 22%, actually, on the Supplemental business. And then the solid growth of the Global Health Care -- the global health benefits business that's part of Health Care also is contributing solid growth. It just gets muted a little bit now because it's a smaller piece of that larger segment. But I think the key takeaways should be the fundamentals on both of those businesses remain very strong as we now report them separately within the 2 segments.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. So you don't see is this guidance providing a major -- any sort of significant change versus what you did -- I think what you outlined few months ago?
Ralph J. Nicoletti: No.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. And then second question is on the cost trend outlook. I think last quarter, you guys had talked about cost trend being around 6% and actually kind of highlighted that maybe some costs are starting to rise, and now you're saying you ended the year at 5.5%. So it seems like a pretty big drop in trend. And frankly, can you talk a little bit about what you're seeing or how you ended the year? Was it a decelerating cost trend as you exit the year? And I just want to understand that progression a little bit.
Ralph J. Nicoletti: Kevin, couple of cost questions sort of in there. Let me talk about the overall year first and then come back to the trend itself. It's -- whether thinking about it sequentially as you asked. First, overall, we came in well in line with our expectations and feel good about the overall medical cost trend and the medical care ratio on the year that was reported. And now I'm really speaking to the guaranteed cost book of business on the commercial side, to focus it. So as we entered the fourth quarter of the year, we did see us come in at the lower end of the range, essentially on the full year, again, in line with our expectations. The -- sequentially, what we saw was some -- quarter over -- I'm sorry, so sequential increase, primarily due to: one, the seasonal nature of the business where we have high deductible plans; and then secondly, we did have some impact in the fourth quarter for elevated level of flu-related costs this season, which we appropriately reserved for in the quarter. So we feel good about the overall trend. The sequential trend that we saw going from Q3 to Q4 was in line with our expectations, and we've effectively accounted for some of the uptick in utilization, particularly as it relates to the flu.
Operator: Our next question comes from Christine Arnold with Cowen.
Christine Arnold - Cowen and Company, LLC, Research Division: First, on the Commercial MLR guidance. It looks like you're guiding for better than a 200 basis point increase, yet the trend in 2012 came in lower than you expected. Can you talk about the factors that bring you to the conclusion that the MLR would rise that much?
Ralph J. Nicoletti: Christine, it's Ralph, a couple of things I want to highlight. First, as been noted in my remarks, we continue to price to our underlying expected medical costs. And as a result, our Commercial risk margins are expected to be essentially consistent with 2012. Now I also noted in my remarks that there's some moving parts in here that I think you have -- to be considered. One, there is the absence of favorable prior year development, because we don't include prior year development in any outlooks. Also, I alluded to some shifts in business mix, as well as some changes in some of our business practices, all which, while it don't affect our risk margins per se, do have a impact on the reported MCR going into 2013 versus 2012.
Christine Arnold - Cowen and Company, LLC, Research Division: So the 81.3% excludes PPD. You're still looking for over 200 basis points. Could you help me understand what the changes in business practices might be that would result in such an increase?
David M. Cordani: Christine, it's David. First, to reiterate and then to answer your specific business practice, the most important message is that the underlying margins year-over-year, '13 relative to '12, are expected to be essentially equal. So now we're dealing with a reconciliation of the way we're going to be reporting and talking about MCRs in '13 versus '12. Specific to your question around business practices, think about a meaningful direction in change in terms of how we would be handling go-to-market cost around broker and intermediary commissions and the like as a moving part in the way the calculation takes place but a 0 impact to the underlying margin. So that's why the headline here was the underlying margins, as we've demonstrated over the past couple of years, consistent, strong and disciplined execution. There's moving parts as we change the way we go to market and the way we recognize. In this case, the biggest moving part here you should think about is commissions and related selling expenses, dealing with intermediaries...
Christine Arnold - Cowen and Company, LLC, Research Division: Got it. So you're excluding those from premium revenues and sticking them in SG&A.
David M. Cordani: Yes. Again, a change in how we're handling that on a go-forward basis. But the conclusion, hopefully, you're drawing here is that no fundamental underlying change in the quality of the business, the quality of the underwriting, the quality of the earnings and, therefore, the margins.
Christine Arnold - Cowen and Company, LLC, Research Division: That's helpful. Okay. And then follow-up. You have very little in the way of small group, only about 20,000, so you don't -- we don't have to worry about employer dumping in that segment. When we think about some of the other parts of your business that may be affected by reform, for example, voluntary limited benefits, where do you see that going? I think it's about $280 million in revenue and then kind of retail hospitality restaurant. Is there anything lingering we should be thinking about in some of these other businesses as we look forward to 2014?
David M. Cordani: Christine, it's David. So broadly, just to reinforce your conclusion, we don't have an under-50 life of block of business that's going to be disrupted. We have a de minimis individual block of business from a disruption standpoint. As you look forward and you roll forward reform, you identify, for example, a small piece in the grand scheme of things, so several hundred million dollars of revenue in residual contributions that goes from that. You should expect us, though, to continue to innovate off the base of those capabilities, so we're able to offer and be responsive to employers who are looking for additional solutions. I'd say the macro level, given the size of the franchise we're operating, you should view that as something we should be able to manage in the day-to-day operations as a corporation, and you should view that the disruption, as we step into 2014, is manageable, fully contemplated in the range of the outlook we gave you, both in terms of revenue growth and earnings growth, which I would note is another year of positive underlying earnings growth for the company.
Christine Arnold - Cowen and Company, LLC, Research Division: Okay. Any other areas I should be worried about in '14, other than this voluntary?
David M. Cordani: A lot of change in '14. But as we talked about, net-net, the change in disruption in the marketplace, we see as creating more opportunity than disruption for us. So no, I don't think you should be.
Operator: Our next question comes from Scott Fidel with Deutsche Bank.
Scott J. Fidel - Deutsche Bank AG, Research Division: First, I want to just ask about some of the success you're seeing in sales in the Select market from conversions of fully insured business to ASO. And is there a way that you can estimate -- if you look at the 21% membership growth that you had in Select in 2012, which was around 150,000 lives, what percentage of that was sort of ASO sales from competitors, products that were previously fully insured?
David M. Cordani: Scott, it's David. First, relative to the Select segment, which again for grounding, think about employers with 51 to 250 employees. Two, very importantly, we're a bit agnostic in terms of our go-to-market approach, in terms of the funding solutions employer takes, and that's a strength for us. We're able to sit with an employer through consultative selling and offer them a variety of means of financing their benefits, whether it'd be an ASO program, a shared-return program or a risk program. And that's a fundamental underlying strength of ours. And we built a business model that we could thrive under either scenarios, of a risk scenario or an ASO scenario. Specific to your question on ASO, you should think about, directionally, a little bit in excess of half of our new business sales being in that category. So what that reinforces for you is that there's still a thriving, rich block of business, but a bit greater than 50% of our sales, and ramping is in the ASO space. And then finally, we see that as a preferred mechanism to align the transparency between ourselves and a client and the client and their employee around the incentives, around the way in which money is spent, around the way in which clinical quality and care is improved on a go-forward basis. So net-net, about 50% of it from an ASO standpoint. But we see it thriving, both risk business, as well as ASO business, as we look into the future.
Scott J. Fidel - Deutsche Bank AG, Research Division: Okay. And then just the follow-up question, maybe just give us an update on the PBM. And I know you had talked about the first half is where you're thinking about giving us an update on strategic view there. Any update on timing? And then just relative to the business itself, it looks like you had around 8% sequential revenue growth in mail order pharmacy revs, and I think that was up around 12% or so for the full year . So clearly, there is good organic growth there. How much of that is being driven off of this growth that you're seeing in the Select and middle markets and, again, from being able to sell in ASO plus other specialty offerings from new sales?
David M. Cordani: Scott, it's David. First, to the second part of your question drawing back, the PBM continues to be a well-run and highly performing asset for us, and it continues to be a very important part of what we'll call our health improvement and health engagement strategy. We've been able to prove that we can grow it. We were able to grow it in part in terms of both the segments and the type of employers we're focused on where more integrated solution makes sense. We could demonstrate that total value of what we're able to service for them. It's superior versus an alternative. So number one, we like the underlying performance of the asset. And to your point, we've been able to demonstrate a positive growth trajectory off of that. As it relates to the first part of your question, we decided to step back, as you know, given the acquisition of HealthSpring and the significant scale, increased opportunity that presents, to make sure we understand all opportunities for running this asset on a go-forward basis. And I've been very consistent to say that the right timeframe to make a decision for that is in the first half of the given year, so in the first half of the year we're in. So you're in position for the ensuing years' selling cycle. And I would say, broadly speaking, we're on track for that.
Operator: Our next question comes from Carl McDonald with Citigroup.
Carl R. McDonald - Citigroup Inc, Research Division: So I wanted to go back to the benefit design changes on Medicare and minimum loss ratio and get your view on whether the revised or the new guidance for '13 essentially gets you all the way to minimum loss ratios, assuming that the -- your definition is roughly accurate, or is that -- should we think of that as a step-up function? You step up a loss ratio in '13. You may have to step it up a little bit more in '14.
David M. Cordani: Carl, it's David. So again, just to be very specific to your question, when you ask a question in terms of all the way, I wouldn't want you to conclude that we're telling you that we have the perfection of execution, that every aspect of the business is perfectly positioned for 2014. Stepping back from that, we took a decisive step to position market-by-market. In aggregate, you should think about that loss ratio as being a responsive loss ratio to be compliant in 2014. And then pragmatically, you should think about, probably, some tweaks in 2014 market-by-market based upon the underlying performance of those markets in 2013 as we think about our bidding cycle, so significant step forward. In aggregate, the book of businesses is appropriately positioned. But given the mix of the business and the underlying performance in 2013, you should expect us to continue to make tweaks of that as we go into 2014.
Carl R. McDonald - Citigroup Inc, Research Division: Okay. So basically, to summarize, you're saying decisive action this year, tweaks in '14. So I take from that, that you expect that the magnitude of the change in '14 to be substantially different than what you're showing this year.
David M. Cordani: In aggregate for the portfolio, that's correct.
Operator: Our next question comes from Dave Windley with Jefferies & Company.
David H. Windley - Jefferies & Company, Inc., Research Division: Slightly different tweak on some prior questions. When thinking about your ASO business and selling strategies there, are you seeing a market increase in employer interest in self-funded arrangements in light of the premium taxes and other costs that they will bear in a fully insured environment headed into 2014? Is that an accelerating opportunity now?
David M. Cordani: David, it's David. I would say yes and no. So are we seeing an increase in demand and interest in terms of self-funded and fully transparent programs and services? Yes. No, I would not say we've seen a correlation to employer's interest in it tied around changes in premium tax and the like. The primary driver we see is that employers see that transparency as an opportunity to align the incentives, to understand how their significant investment is performing, to be in a position to make changes throughout the course of the year, to be in position to communicate more effectively with their employees and align incentives. And that's really where we think the power is. So yes, from a demand and trajectory standpoint; no, as a corollary to the premium tax movement.
David H. Windley - Jefferies & Company, Inc., Research Division: Okay. And then my follow-up around -- is around progress on a couple of Commercial fronts. One, I wonder -- you've talked about your Collaborative Accountable Care efforts and intent to hit about 100 in 2014. Wondered if you would be willing to put a number of members and the size the membership that you think that you would have in that? And then kind of similarly but different, you've, I think, launched some Commercial product into what were formerly HealthSpring-only markets. And I'd be curious about your early returns on Commercial membership in those markets from, I think, kind of narrow network efforts there, please.
David M. Cordani: Sure, Dave. Several different questions, let me see if I could package an answer around it. You ended with the term narrow networks, so I actually want to pick up from that, because philosophically, we don't think about it, our go-to-market strategy, as narrow networks. We think about a body of evidence around the highest-performing, highest-value networks, and we believe there's a significant opportunity to position those for the benefit of clients and customers, just as -- just a philosophical orientation. To your very specific question, one, as I noted in my prepared comments, we're approaching 1 million members or 1 million customers that are already in either the Collaborative Accountable Care relationships or the more sophisticated HealthSpring model in relationships, so we feel great about that. Two, I appreciate your recollection of strategic objective is to have 100 Collaboratives up and running in 2014, and we're well on our way to that direction. The way I'd ask you to think about it, broadly, your rightful question in terms of lives and targets, our more macro objective is that we expect to have approximately 80% of all of our U.S. customers in a performance-based reimbursement model as we step out of '14 and into '15, right? Collaboratives will be a piece of that, but using performance-based reimbursement. Because philosophically, we believe that rewarding physicians in integrated health care system based upon quality and value of outcome versus volume is the way of the future, and there's a variety of way to get those performance-oriented systems to be operating. And that's the key for us for our organization on a go-forward basis. Lastly, specifically, to your HealthSpring question, you're correct. We've split up some Commercial alternatives off of their very successful MA structure. And I would say early indications are positive, but it's early in the trajectory. We have some large cases we've carved into those delivery systems and are seeing early traction already. So early indications are positive, but it's just early in the cycle.
Operator: Our next question comes from Justin Lake with JPMorgan Chase.
Justin Lake - JP Morgan Chase & Co, Research Division: First question, I just want to follow up on Medicare Advantage. The industry has appeared cautiously optimistic on the ability to grow Medicare Advantage membership and earnings in '14 despite the headwinds that we know on rates and taxes and MLR floor. So I was just curious in terms of your early view here.
David M. Cordani: Justin, it's David. Maybe -- what I'd like to do is address '14 more at a bit more of a macro level than in individual line of business, and feel free with follow-up questions to keep pushing. But obviously, we're not giving 2014 guidance. I appreciate the desire to understand the underlying economic for '14. And two, by way of a backdrop, we've been able to demonstrate meaningful both operating earnings growth and EPS growth. As we sit here today, to be very clear, we would expect to grow both underlying earnings and EPS in 2014 for the franchise, and I think that's the most important headline as you think about the underlying earnings power of Cigna stepping into 2014.
Justin Lake - JP Morgan Chase & Co, Research Division: That's good to hear. And then, okay, let me ask a follow-up question on the ASO for the stop loss side. Can you walk us through how small a membership base you will offer ASO and stop loss coverage to? And then in terms of margins, I can't remember the last time there was really volatility here. So can you remind us what factors or what kind of change in cost trend it would take or other factors that would drive volatility in the stop loss business and economics specifically?
David M. Cordani: Justin, it's David. First, if you think about the ASO stop loss proposition, first, by way of backdrop, historically, this has been a proposition that has thrived in what is known commonly in our industry as the bread-and-butter middle market. And systematically, think about it as having come down market through 500 life employers, 400 life employers, 300 life employers. Specific to Cigna in your question, think about the bulk of our success down market is being in that 100 to 250 life employer space, but the ability to go below that. That's point one. Point two to your question, we've not laid out -- so you haven't missed it. We've not laid out a -- I'll call it, a medical trend sensitivity that says with the following medical trend sensitivity, this is what you should expect from a stop loss standpoint. Because I think it would be an inappropriate indicator. There's a variety of different products, programs and services that make up a broad pool of stop loss. And as we've been able to demonstrate, we've been able to run that portfolio of businesses very successfully. And we've been able to demonstrate we've been able to deliver on or exceed our medical trend outlook as a franchise to each of the last 3 years. So I would suggest to you that I can't answer that specific question the way you asked it. But broadly speaking, know that, that is a very well-run block of business at a modest movement in medical cost trend, think 1 point, think 100, 150 basis points in a given year, you should not think of having a shock impact on that book of business the way it operates.
Justin Lake - JP Morgan Chase & Co, Research Division: Dave, maybe you can then tell us, when was the last time or give us the last example you remember of stop loss being a real issue? What -- when was it and what caused it?
David M. Cordani: Justin, I have a good memory, but time's a blur. If I think back over the last 3 or 4 years, we have not talked about stop losses other than a very strong growth and earnings driver for the corporation. So if I think over the last 3, 4 or 5 years, I do not have a ready example for that. And I think it's indicative of -- we have a dedicated business unit. We have a dedicated segment focus. We have dedicated product distribution, business expertise that's oriented around this. It is a complex product to manage, which is why we have dedicated expertise around it, and we've been able to prove sustained strong performance. Justin it's also important to note, as I indicated to your prior question, we don't view it as a one-size-fits-all solution. So we don't believe that an ASO stop loss solution configured in the right way is going to work for an employer. We're not going to push that, because that's a lose for us and it's a lose for them. We'll present an alternative solution. So I can't give you a timeframe or an issue to your question.
Operator: Our next question comes from Chris Rigg with Susquehanna Financial Group.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Just one maintenance question here. Have you guys disclosed the new growth rates under the new accounting by segment for the -- on the top line, so what you're expecting in Health Care and the in the Supplemental, et cetera?
Ralph J. Nicoletti: Chris, it's Ralph. No, we haven't disclosed it by segment. We do -- we did provide it, and you heard it in my remarks, on the overall franchise, with our outlook being between 8% and 12%. And that's consistent with what we discussed when we had our Investor Day.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Sure, okay. But can you give me a sense for, at least, on the Health Care and the Supplemental what we should expect?
Ralph J. Nicoletti: Directionally, what we've said in the past, and I think it fits well within there, is on the -- going -- at least going into '13, on the Commercial side of the business, into the mid to high single-digit growth; in seniors, mid to upper teens. I think importantly, I just want to point out there, in '13, there is an extra month of the HealthSpring business in our results. The mid to upper teens on seniors; and then in the Global Supplemental Benefits business, you could think about that in the low-20s; and then within group, in the mid-single digits.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Okay. And then -- I know everybody likes to talk about the PBM and what you may or may not do strategically there. But the one business segment that first stands out is Disability and Life in terms of sort of revenue growth versus profit growth. And I guess strategically, when you guys look at your businesses, is the Disability and Life business in your --- do you generate a lot of synergies between that segment and, call it, Health Care and Supplemental? And if not, is it something that you would consider doing some -- something strategic with at some point in the future?
David M. Cordani: Chris, it's David. To your question and you oriented on the Disability and Life, as you orient to in our focused strategy, we've been focused on the Disability portion of that business as a point of differentiation. We're able to offer good value proposition from a Life standpoint. If you step back and you think about Disability, just about every disability is correlated up against some medical issue. So there are synergies there for sure. We're able to offer an integrated value proposition to employers to both reduce the volume of short-term disabilities and decrease the duration of disabilities by more actively managing and actively coordinating care for individuals with physicians over time. So there are, indeed, synergies. Over time, it's been a very well-performing block of business for us. We've been very clear in these current market conditions. These current market conditions are very challenging for that line of business and for the industry. And even within that environment, we've been able to deliver very good value proposition for our clients and customers. And I would suggest a reasonable return, given the low-wage growth environment, the unemployment environment and the sustained low interest rate environment. There is an impact on the returns for the reserves. So at this point, we continue to be very pleased with the business. We recognize that it is not growing. That's not lost on us. We continue to invest in it to make sure the capabilities are differentiated, and we have expectations over the intermediate term to have it return to an attractive growth rate on the bottom line, as well as the top line.
Operator: Our next question comes from Sarah James with Wedbush.
Sarah James - Wedbush Securities Inc., Research Division: On the commercial medical cost, you've guided up, about 50 to 100 basis points for next year. So how does that compare to cost trends exiting 2012 or so far this year x the elevated flu that's non-recurring? And is there anything you're seeing in the claims data, maybe on the hospital side, that's supporting that assumption?
Ralph J. Nicoletti: Sarah, it's Ralph. First, as we look into next year, and as I mentioned in my remarks, 6% to 7% was the trend outlook, which is a step up from what we experienced now in 2012, which was a little below 5.5%. You can think of that as really an uptick in utilization. And inclusive in that is, in our expectation, particularly in the first quarter of the year, that we're going to continue to see elevated claims related to the flu, but that's within our trend of 6% to 7%, so higher utilization versus '12 inclusive of some experience on the flu that we'll see in the first quarter.
Sarah James - Wedbush Securities Inc., Research Division: Are you seeing anything in your claim status so far that would support that increased utilization assumption, or is that just a reversion to the mean thesis?
David M. Cordani: Sarah, it's David. I give you 2 points. One is we positioned last year, stepping into 2012, used the term reversion to the mean. We had indicated that the overall utilization level was below historical standards. And without multiple years of track record to reinforce why, we took a little bit of a conservative posture stepping into 2012 that we felt was prudent. And as you see, our medical cost trend unfolded somewhat favorably, as you noted. Some of that same posture is being taken for 2013 as well, just given the environment we're operating in. Ralph commented on the flu. We see some early indications of that, obviously, in the fourth quarter, and therefore, some caution as we step into the first quarter of this year. The last point I would give you though, which is very important and it's unique to our book of business, with 85% of our customers being ASO, think about those customers being self-funded or ASO. Seeing both their existing medical cost spend in trend and us using that to consult with them to project their 2013 medical cost in trend. Secondly, even within the risk book of business, on average, our case sizes are a bit larger. We're not in the under-50 pool block of business. So in many cases, clients are actually seeing a subset of their overall medical cost performance as well. Point being is there's a lot of transparency case-by-case as we're converting this in the marketplace. But to your broad point, there is a bit of underlying assumption of a little bit of a reversion to the mean. And if that doesn't transpire, we'll obviously be communicating that with you quarter in, quarter out as we go forward.
Sarah James - Wedbush Securities Inc., Research Division: Okay, great. And then you talked about the PBM in terms of growth opportunity. But another aspect of the equation is unit cost savings. So can you just remind us how much of your medical spend is in the pharmacy category? And as you think of unit cost, how much saving is there really to be had between where you sit now and maybe the optimal or industry-leading unit cost?
David M. Cordani: So Sarah, I'm going to take your question maybe in reverse order. We've been able to demonstrate in the marketplace that our total cost proposition as it relates to the pharmacy is fully competitive. So you should think about our aggregate cost proposition, in terms of units, severity or mix and cost per unit as it couples together. You should think about our pharmacy value proposition being fully competitive in the market. And it's best reinforced by the fact that we're growing it and we're growing it profitably, and we're growing it and growing it profitably in a variety of segments. Now having said that, is there an opportunity to further improve that overall cost equation? There's always opportunities for further improvement, and that's why we're pinpointing to see are there meaningful opportunities that we could take a step forward in terms of moving forward on. As it relates to the cost proposition, it's important to note that when we think about PBM or pharmacy, we think about the -- I'll call it, the oral prescription, and then the fastest-growing category being the injectables. As you very well know, the injectables show up in a variety of places. A small amount typically shows up in the PBM or pharmacy line, and the majority of it shows up in the professional and outpatient services line. That's an important part of the equation. Stepping back to pharmacy, think about -- of the total medical cost spend, think about that being somewhat greater than 10% and somewhere less than 20% of the overall cost equation, depending on how you're slicing and dicing within there.
Operator: Our final question comes from Ralph Giacobbe with Credit Suisse.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Most of my questions have been answered. But I just want to ask about the pension. Did you talk about what the unfunded portion was at year end and how much you expect to contribute this year, one? And then just a follow-up question. Given the exit of VADBe and sort of your strong cash flow generation, stability of the operations for some time now, any increased appetite on the dividend side to maybe see a raise there?
Ralph J. Nicoletti: Ralph, it's Ralph. Just regarding the pension, in terms of our unfunded liability, that actually came down as we move towards year end, driven by the return to the portfolio relative to our assumptions. So we exceeded that. We also funded around, as we've done in prior years, about $170 million after tax of contributions into the pension plan, but offset by a lowering of our discount rate assumption, which you'll see in our 10-K coming up later this month, to be 3.5%. So when you put all those together, our unfunded liability moved down to about $1.6 billion at the end of the year.
David M. Cordani: Ralph, it's David. Picking up on the second part of your second question, and it correlates to the capital deployment. First, our funding strategy has not changed. We're earmarking approximately $200 million to $250 million per year pretax, and you should think about that as $150 million, $160 million after tax per year on a go-forward basis, which is well greater than any minimums that we need to fund into the overall program. That bridges across to your question around capital deployment strategy and, specifically, dividends. First, to start that conversation, as Ralph noted in his prepared remarks, we continue to have a very attractive outlook for 2013, $1.3 billion to $1.4 billion available for deployment, in addition to that, $400 million to $500 million at the parent company level. So we have very good starting point. Our strategy has not changed in terms of deployment priorities. And as it relates to dividend and the overall decision in terms of how to best deploy it, that's a dynamic process that we continue to consider throughout the course of the year. But we have an outstanding starting point as we step into the year to make those decisions.
Operator: I will now turn the call back over to Mr. David Cordani for closing remarks.
David M. Cordani: In closing, let me just emphasize a few points from today's conversation, most notably 2012 was another strong year for Cigna. We exceeded our growth and earnings expectations, reflecting contributions from each of our ongoing businesses, particularly in our Global Health business. It's evidenced by our high customer retention rate, continued expansion of those relationships and ongoing success winning new relationships, whether they are with employers, individuals or government entities. As we look forward and assess this transforming global economy and regulatory environment, we see significant opportunities for continued innovation and growth, driven by our differentiators of customer insights, collaborative selling, and best-in-class physician engagement. We continue to have a strong balance sheet and solid financial flexibility, which was further enhanced this week by our agreement with Berkshire Hathaway to effectively exit our VADBe and GMIB businesses. Based on the momentum we are carrying into 2013, we're confident about achieving our full year 2013 strategic, financial and operating goals. Thank you for joining us on the call and your continued interest in Cigna, and we look forward to continuing our dialogue as we go into 2013.
Operator: Ladies and gentlemen. This concludes Cigna's Fourth Quarter 2012 Results Review. Cigna Investor Relations will be available to respond to additional questions shortly. Recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing 1 (866) 423-2212 or 1 (203) 369-0839. No passcode is required. Thank you for participating. We will now disconnect.